Operator: Greetings, and welcome to the Boot Barn Holdings First Quarter Fiscal Year 2017 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Mr. Jim Watkins, Vice President, Investor Relations and External Reporting for Boot Barn. Mr. Watkins, the floor is yours, sir. 
Jim Watkins: Thank you. Good afternoon, everyone. Thank you for joining us today to discuss Boot Barn's first quarter fiscal 2017 earnings results. We apologize for the late start. The conference center had some technical difficulties, but regardless, we're able to join us. 
 With me on today's call are Jim Conroy, President and Chief Executive Officer; and Greg Hackman, Chief Financial Officer. A copy of today's press release is available on the Investor Relations section of Boot Barn's website at bootbarn.com. Shortly after we end this call, a recording will be available as a replay for 30 days in the Investor Relations section of the company's website.
 I would like to remind you that certain statements we will make in this presentation are forward-looking. And these forward-looking statements reflect Boot Barn's judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting Boot Barn's business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made on this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that is included in our first quarter 2017 earnings release, as well as our filings with the SEC referenced in that disclaimer. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events or otherwise.
 Please note that we have not presented adjusted measures for the first quarter of fiscal 2017 as there were no adjustments. 
 I will now turn the call over to Jim Conroy, Boot Barn's President and Chief Executive Officer. Jim? 
James Conroy: Thank you, Jim, and good afternoon. Thanks, everyone, for joining us. On today's call, I'll be providing a review of our results, followed by a discussion around the key drivers of our business. Following that, Greg will review our financial performance in more detail and comment on our outlook for fiscal year 2017.  Finally, we'll open the call up for your questions.
 I'm pleased that we achieved positive same-store sales growth of 0.4% on a consolidated basis in the first quarter. The same-store sales growth, coupled with the sales contribution of the acquired Sheplers business, and the 17 new Boot Barn stores opened over the past 12 months, contributed to consolidated net sales growth of 39%. Our results reflect strong sales growth in both e-commerce brands, while the store's business declined on a comp basis year-over-year with the Boot Barn stores outperforming the rebranded Sheplers stores.
 In our stores, we saw continued growth in many core markets, particularly in the West, where we continued to face sales headwinds in Colorado, Wyoming and North Dakota associated with the softness of local economies dependent on oil and other commodities.
 Same-store sales in our Texas stores continued to be negative, but showed sequential improvement over each of the last 2 quarters.
 In our e-commerce channel, our efforts to expand this business yielded positive results. We continued to make progress in the integration of the back office operations of our 2 e-commerce businesses, which we believe will create further efficiencies, allow us to provide an even better customer experience and result in further expense reduction. As part of this integration, we are converting our e-commerce businesses to a new technology platform. The conversion to the upgraded platform is expected to be completed in the second half of this fiscal year. 
 Looking at our core Boot Barn merchandise performance, we saw improvement in our work category, as we continued the positive growth we experienced in the fourth quarter, reflecting further traction in the merchandising initiatives we implemented in fiscal 2016. We also grew comp sales of men's and ladies' western apparel, achieving positive results by expanding our assortment in dresses, skirts and graphic tees in an effort to target the country music festival customer. However, we again experienced weakness in our ladies' boots business, primarily attributed to sluggish sales in regions impacted by low oil and commodities prices.
 Turning now to the Sheplers business. Same-store sales at the Sheplers business, including e-commerce and the rebranded Sheplers stores, were positive during the quarter. This sales growth was led by Sheplers' e-commerce business outpacing the single-digit decline of the Sheplers stores that continued to anniversary heavy promotions in the first quarter of fiscal year 2016 prior to the Sheplers acquisition. 
 Looking at Sheplers e-commerce, this business has continued to experience double-digit sales growth with increases in every major merchandise department and particularly outsized growth in boots. 
 In terms of site metrics, we saw an increase in both traffic and conversion, along with a shift to mobile from desktop traffic. 
 In the quarter, we completed the transition of Sheplers' store merchandise to the Boot Barn assortment. Looking at those stores now compared to 1 year ago, you would see a significantly larger offering of western boots, work boots and work apparel. The team has done a terrific job enhancing the stores' aesthetics and expanding our offerings, positioning the rebranded Sheplers stores as a key destination for both the western and work customer. We believe the authoritative assortment in each of these categories differentiates us from our competitors.
 Although we saw growth in some of the expanded merchandise categories, we did continue to see weakness in western apparel, as we continue to cycle the heavy Sheplers price promotion activity in the prior year. We expect this trend to continue for a few more months until we begin to anniversary the Boot Barn promotional calendar in our third fiscal quarter. 
 Looking at the profitability of these stores, we continued to work through some of the slower-moving apparel at the Sheplers stores, which had some negative impact on merchandise margin rate. This pressure was more than offset by the merchandise margin rate improvement achieved by our purchase economies, introduction of private brands and our efforts to reduce the amount of promotional activity in the stores relative to the prior-year period. While we are disappointed in the same-store sales results in these stores, we are encouraged by the healthy increase in merchandise margin rate and feel that we're positioned well for profitable sales growth going forward in this part of the business. 
 Turning to current business. While still very early in the fiscal second quarter, our consolidated same-store sales were slightly negative in the month of July. For context, July of last year was the toughest comparison in the second quarter, particularly in the core Boot Barn business. We have continued to generate strong sales in our e-commerce channel, particularly at sheplers.com, and our Western region stores continue to comp positively. However, while we hope we would see some stabilization in sales in Colorado, Wyoming and North Dakota, as we anniversary the beginning of the sales erosion in these commodity-impacted markets, that has not yet materialized, and those markets continue to see sales decline.
 Looking forward, visibility into sales trends is difficult and week-to-week performance continues to be variable. Nonetheless, I am relatively pleased with our performance in the first quarter and believe we have the appropriate strategies in place to manage through the current cycle as we search for more opportunity to drive same-store sales growth, strategically open new stores in areas with strong potential and further enhance our e-commerce capabilities. 
 Now I'd like to turn the call over to Greg Hackman. 
Greg Hackman: Thank you, Jim. Good afternoon, everyone. I will begin by reviewing our first quarter results and then comment on our outlook for fiscal 2017. In my discussion, I will be commenting on both actual and adjusted results, excluding any one-time costs, to facilitate comparability. Please reference today's press release for all definitions and for a reconciliation of GAAP numbers to these non-GAAP adjusted numbers.
 In the first quarter, net sales increased 39% to $133.4 million. As Jim mentioned, this was driven by the sales contributions from Sheplers, the 17 new Boot Barn stores opened over the past 12 months and same-store sales growth of 0.4%.
 Gross profit increased 32.4% to $40.8 million or 30.5% of net sales compared to gross profit of $30.8 million or 32.1% of net sales in the prior-year period. Consolidated merchandise margin rate declined 210 basis points. Merchandise margin rate declined as a result of the historically lower merchandise margin rate at Sheplers compared to the merchandise margin rate at core Boot Barn.
 The composition of the business this year with Sheplers, as compared to last year when the company did not own Sheplers, was the primary driver of the decline in the consolidated merchandise margin rate. Also pressuring merchandise margin rate was the outsized growth in e-commerce, slightly more promotional activity online, the additional shrink provision and increased freight. Importantly, we did not change our full price selling philosophy in our store base. 
 Operating expense for the quarter increased 40% to $36.3 million or 27.2% of net sales compared to the adjusted operating expense of $25.1 million or 26.1% of sales in the prior year period. The increase in operating expense is primarily attributable to the operating cost related to the Sheplers business and the 17 Boot Barn stores opened since the first quarter of fiscal 2016. The adjusted operating expenses in the prior-year period exclude $900,000 of acquisition-related expenses.
 Our adjusted EBITDA increased to $9.4 million in the first quarter of fiscal 2017 compared to $8.8 million in the prior-year period. Our income from operations was $4.5 million in the first quarter of fiscal 2017 compared to $5.7 million of adjusted income from operations in the prior year period. The decrease in income from operations is primarily the result of higher depreciation and amortization expense.
 Interest expense was $3.6 million, an increase of $2.8 million or $0.06 per diluted share compared to the prior-year period, which results from additional debt associated with the acquisition of Sheplers in the second quarter of fiscal 2016.
 Net income for the quarter was $0.6 million or $0.02 per diluted share compared to $2.3 million or $0.08 per diluted share in the prior-year period. Excluding acquisition-related expenses and the adjusted provision for income taxes, adjusted net income was $3 million or $0.11 per diluted share in the first quarter of fiscal 2016.
 Turning to the balance sheet. We continue to manage our inventory very closely. Excluding the converted Sheplers stores, inventory was flat to last year on an average store basis. On a consolidated basis, inventory rose 31% to $179 million compared to a year ago. This increase was primarily driven by an 18% increase from the addition of the Sheplers stores business, a 7% increase from the new stores added in the last 12 months and a 7% increase related to the Sheplers e-commerce business. 
 As of June 25, 2016, we had $253.5 million outstanding on our revolver and term loan. At the end of the quarter, we had $60.2 million drawn on our $125 million revolving credit facility and $5.8 million of cash and cash equivalents. Our net debt leverage ratio was 4.1x. 
 Our outlook for fiscal 2017 remains unchanged from prior guidance. While we are beginning to cycle the external headwinds associated with softness of both the economies dependent on oil and other commodities, we continue to expect same-store sales for the consolidated company to be between slightly negative to slightly positive.
 We expect income from operations of between $42.4 million and $46.8 million, and net income to be between $16.9 million and $19.6 million for fiscal year 2017. 
 Earnings per diluted share is expected to be in the range of $0.63 to $0.73 per share based on our estimated weighted average diluted share count of 26.8 million shares for the full fiscal year.
 As we look to the second quarter of fiscal 2017, we expect same-store sales to be slightly negative to slightly positive. We estimate our second quarter earnings per diluted share to be in the range of $0.00 to $0.02 per share based on an estimated weighted average diluted share count of 26.7 million shares for the second fiscal quarter. 
 Now I'd like to turn the call back to Jim for some closing remarks. 
James Conroy: Thank you, Greg. We're working extremely hard to offset some of the pressures in our business, and I am encouraged that we were able to achieve a slightly positive same-store sales result in the first quarter. Having said that, we remain in a challenging retail environment, which makes forecasting difficult. During this uncertain time, we continued to manage our expenses and inventory levels carefully, while remaining focused on building new stores, growing same-store sales, improving our merchandise margin and enhancing our omnichannel capabilities. 
 Now I would like to open up the call to take your questions. Operator? 
Operator: [Operator Instructions] The first question we have comes from Randy Konik of Jefferies. 
 We'll go ahead and try to proceed to the next one. [Operator Instructions] The next question we have comes from Matthew Boss of JPMorgan. 
Matthew Boss: Jim, just piggybacking on your comments related to business being hard to predict, what's your comp expectation for oil and gas regions in the second quarter as well as the second half of the year just versus what you saw in July? 
James Conroy: We're projecting those states to get a little bit better, but still be negative for the balance of the year. 
Matthew Boss: Okay. And then have you seen any stabilization on the promotional front? I know some of your peers have shifted their mix to lower-ticket items. Are you seeing any trade-down within categories, both in the oil and gas regions, as well as some of the other areas of the country that are not -- that haven't been impacted by the oil and gas? 
James Conroy: Yes, to some degree. So, particularly in the commodities impacted markets, couple of examples. We're seeing more difficulty in the high end boot business, particularly exotic boots. So historically, the stereotypical oil worker, who was flushed with cash would buy, not only what they needed to go work in oilfields, but they'd also buy themselves a $400 to $600 pair of exotic boots. That business has experienced pretty significant downward pressure. I think the other thing that we've seen is a little bit of a trade-down in terms of, particularly on the work apparel side, in terms of good, better, best from some of the higher priced points that was on a relative basis in the workwear business or workwear apparel lines down to more moderately priced apparel lines. For us, though there it's all still essentially at full price. I mean our full price model hasn't changed. So while we're trading some business down in terms of AUR, our promotional posture hasn't really changed at all. 
Matthew Boss: Got it. And then, just last question. As we think about store growth, any changes that relates to the longer term 500 door target? And what would you need to see to consider reaccelerating growth back to the 10%? And, I guess, more so, does the balance sheet or the leverage that you have today play a role? Or is it solely based on top line stabilization? 
James Conroy: So on the first part of your question, I think the opportunity for 500 stores is as alive and healthy as it was in October 2014 when we became public. In terms of our store rollout plan, we had a long-term goal of 10% new units. If you look at a multiyear period, we're way ahead of that goal. We did slow it this year just in an attempt to be prudent to see if we could -- until we saw top line sales stabilization. So as soon as we see a couple of quarters that are positive, even in the low-single digits, and get through in Christmas, I think, we will feel a lot better about kind of reaccelerating the store growth, but I think we're trying to -- in this very kind of uncertain retail environment, in general, we're just trying to be maybe overly cautious. 
Operator: Next, we have Jonathan Komp of Robert W. Baird.
 [Operator Instructions] We'll proceed to the next question, that comes from Ben Bray [ph] also from Robert W. Baird. 
Jonathan Komp: It's Jon Komp from Baird. First question, if I could just ask maybe on the sales cadence throughout the quarter that you saw, any color month to month would be helpful. 
James Conroy: It was relatively consistent month-to-month, nothing drastically different from -- throughout the quarters. 
Jonathan Komp: Got it. Okay. And if I could maybe clarify, Jim, your comments about some of the oil and gas impacted-markets. I think you mentioned you're expecting some signs of stabilization, but not seen an improvement yet. Does that mean that the trend has stabilized at lower levels or maybe more specifically, can you comment on the 2-year trends that you're seeing in those markets? 
James Conroy: Sure. Sure. Look, the most optimistic view would have been, while we are wrapping negative numbers in the last year period, so therefore, we'll -- in terms of 2 years stack, we'll comp positively, we've certainly not seen that. The more pessimistic view would be the negative sales trends of -- and we had said this once before is double-digit sales trends that are negative in particularly in Colorado and North Dakota and Wyoming, that they would stay that same magnitude negative. They've abated a little bit, they've gotten a tiny bit better than that, but not a lot, and they're certainly not yet flat. 
Jonathan Komp: Okay. And then maybe in terms of the outlook for some of those locations. Some of the work boot vendors are talking a little more positively that their business could actually further stabilize and, in some cases, actually turn positive later in the year, again some of the low comparisons. And I just wanted to maybe reconcile that with your views for the business, if you expect kind of the trends as you look at the work side of the business versus some of the other categories looking ahead. 
James Conroy: Sure. Sure. I think there's a possibility that could happen. However, and I hope they're right, we're not banking on that, Jon. And we've had some decent sales in our work boots category and our work apparel category. So that really hasn't put much pressure in the comp. What's been pressuring the comp in the affected markets is the more discretionary spend. People buying less ladies boots, less apparel other than work apparel. The underlying work boot business is up as is the work apparel business is up. 
Jonathan Komp: Okay. That's helpful. And then the last one for me. If I could just ask related to the unit development targets longer term, I noticed that it looked like maybe your most recent annual update that the disclosed in economics looks slightly less favorable for the new stores. And I am wondering if that's just a factor of the class that was open to your expectations for the, the new unit targets have changed meaningfully in terms of the construction cost or the payback period. 
James Conroy: I think it's more of the latter. I think it's a or rather the former. I think it's more of a temporary phenomenon. The most recent class had 2 things go, maybe 3 things go against them. The first was, we were tweaking the store model a bit, so the store capital when with elevated modestly, but not a brand-new store prototype really, it's just some new fixturing and in-store signage. So we had a escalation of the store capital, which have now normalized as we've been able to source much of that on a kind of buildout basis and gotten back down to a capital requirement that was similar to the one that we had called out when we had first gone public. The second piece was, we had taken a couple of stores and tried a model in certain markets looking for store pro formas of $2.5 million to $3 million in some of the Texas new stores. That proved to be a little bit of an aggressive posture for 2 or 3 stores. And those couple of stores, while still positive, are still EBITDA positive, will be a longer payback just because they're not meeting their expectation for those 2 or 3 stores. And the third piece is that most recent class was opened in a much more difficult environment for those industry as we can see in the comp or the same-store sales piece of it. When you net all of that out, our new store sales volume, it's still averaging $1.7 million, which is what we had always said that we'd average, but because of the capital requirements, had gone up a little bit and, of course, we had the occupancy and a few -- a handful of stores was a little higher than our model. It's slowed the payback for the most recent class. We expect as we go forward that the roughly 3-year payback model will come back to us, and we expect that we can model that as we go forward for the next classes of stores. 
Operator: Next, I believe, we'll have Peter Keith with Piper Jaffray. 
Peter Keith: So I know there's a couple of questions around the oil and gas markets, I want to make sure we were and maybe splitting out Texas, which I think you've classified as non oil and gas. Last quarter, it seemed like you saw some sequential improvement in Texas. Could you give us an update there? Is it more of the same or continued sequential improvement? 
James Conroy: Sure. Now it's a very good clarification, Peter. Thank you. The Texas business was still slightly negative, but it was sequentially better than it was in the fourth quarter. And your memory is right, the fourth quarter was sequentially better than it was in the third quarter. However, with 47 stores in Texas that are still a drag on our overall comp because they're negative, which is not quite as negative. The other 3 states that we call out specifically are North Dakota, Wyoming and Colorado. The negative comps in those states is much more significant than that in Texas. And while that -- they have slightly improved between the fourth quarter and the first quarter, they're still pretty significantly down double-digit declines. 
Peter Keith: Okay. And then, Jim, going back to last quarter, I think, your commentary was that the sales trends were remarkably volatile for a business that's historically been quite consistent. Maybe it's too short a trend, but it sounds like this most recent quarter you saw a little more consistency in the recent months. Is that a fair observation? 
James Conroy: I think so. A little bit more. I mean, the standard deviation, if you will, is a little bit tighter. But it's still, when we look week-to-week 2 years ago as many of the folks in the call would remember, we had a positive 6 to positive 8 week virtually every week of our life and now it's, we've got some positive weeks, we've got some negative weeks and they average out to where we've been reporting. I think when we look at the store base from -- and if we look at the sequential improvement from Q4 into Q1, what really drove that, and we're pleased with this, I also don't want to necessarily extrapolate this yet, but what drove the improvement between Q4 and Q1, if you think about the components of our business, the tailwind from e-commerce between the 2 quarters was exactly the same between Q4 and Q1. And the Sheplers stores business, unfortunately, they comped a little bit worse in Q1 versus Q4. So the overall sequential improvement in the consolidated comp is thanks to the Boot Barn core store business and that's a good fact for us. Again, we continued to manage in an environment where it's difficult to predict next week and next month sales, but at least looking at those 2 quarters, it was good to see kind of the core Boot Barn stores business have some improvement on the sales line and still at a very healthy margin as we didn't change our promotional strategy, we didn't run any crazy sales. So there's some guarded optimism that it is guarded. 
Peter Keith: Okay. That's helpful color. And maybe one last clarification question for me. So you commented that the Sheplers stores, it sounds like they'll still be under pressure in fiscal Q2 until the promo calendar is lapped in Q3. But because you own the stores in Q2, I'm surprised you wouldn't be lapping that now. Could you help me understand why there's still some volatility there? 
James Conroy: Sure. We bought the business at the middle of the last day of the first quarter or the first day of the second quarter. And for the month of July and into August, the former Sheplers team was still buying the product for that business and running the promotions for that business and they were running on their own same sales systems. And we went through a very methodical conversion process of, first, changing the POS systems over to ours and then being able to take control of the assortments. But in an effort to keep their business intact while we went through that conversion, for the first 3-ish months that the promotional calendar just kind of stayed intact if they had already put together. So that's why we didn't really start them on the Boot Barn promotional calendar until the stores were rebranded, which while that started in September, most of the volume of the Sheplers stores business didn't get rebranded until November. 
Operator: Next, I believe, we'll have Randy Konik of Jefferies. 
Randal Konik: A quick question, if you think about the positive parts of the business, obviously, with a slightly positive comp, something has to be doing very well, what are the common characteristics of what areas of the geography are doing well from a geographic standpoint, but also from a product standpoint? That's my first question. 
James Conroy: Sure. That's a good question. So from a geographic standpoint, I think if you circle back to the comments earlier, the core Boot Barn stores have improved. There's a little bit of a sequential improvement in Texas and a modest sequential improvement in the 3 states that have been a drag, although, again, I just want to reiterate, that's still a pretty sharp decline in Colorado, North Dakota and Wyoming. From a merchandising category perspective, it's very interesting. When you look at the fourth quarter going into the first quarter, every single major merchandise department improved sequentially, almost in lockstep. And our read on that was, so traffic must have come up a little bit, because it's not like one particular category broke out and changed the sales trend, it was literally an incremental improvement based on a consolidated basis in every single -- maybe virtually every single major merchandise department. 
Randal Konik: Got it. And then, just to talk about the 40-some-odd stores in Texas, did you talk about the variability within those geographic locales of those stores? Is there anything to kind of take away from that in northern or southern or eastern or western Texas? Is there any kind of difference at all or no? 
James Conroy: There is, but it's not an obvious pattern to us, and there's probably a couple of real reasons for that. One, in Texas, as you know, we have a lot of stores that have been converted from Sheplers, so they sometimes are up and sometimes are declining. In the most recent quarter, the Sheplers rebranded stores had a difficult growth rate. The other piece of it is, last year, we actually opened some stores in the Houston market. So if we were to look at the Houston market as a whole, that market has comped down, but we've, in our view, have been taking share, because total sales has gone up in that particular market. So we've cannibalized ourselves a little bit. And then you have the different pressures of oil and gas between East Texas and West Texas, paradoxically the West Texas business isn't quite as bad as you might think it would be. 
Randal Konik: Got it. So, I guess, that's my next question. Because you said I think on the comments when you talked to I believe it was Wyoming, Colorado, and North Dakota, you actually said I believe that the work business was up, but the discretionary business was down. When those states were worse, was the work business in fact also down in addition to the discretionary business, such that the work business is reaching inflection, I'm just curious there. 
James Conroy: The honest answer, I'm not sure I can quote that specific number. I think your hypothesis is probably valid, but I don't know the specific by department [ph] clarify by those 3 states sequentially. 
Randal Konik: Got it. Okay. Then, I guess, my last question. When you spoke about I think in the press release but also your commentary, kind of spoke to a theme of you're not over -- not an extensive amount of sale events, it sounded like, listen, the Sheplers is what caused the gross margins, the mix there to be down from a total gross margin perspective. So, I guess, my question is, how do you feel about the full price sellthrough rates in the business? Are you starting to see those trends sequentially improve at all? 
James Conroy: We feel good about that. Yes, I think, what we're trying to communicate was that in a difficult retail environment, we're not going to resort to kind of broad-based across-the-store promotions with one exception to that, which is an annual sale that we do every year in August, called Stinky Boots. We did that last year, we'll do that this year in August. But other than that, we virtually never put the entire store on sale. We often try to have more [ph] rifle shied promotional offers in the store, so either a particular vendor or a particular category and a particular vendor, we'll have some promotional activity, but it's very minor. And in terms of our sales composition, 85-plus percent of it is still full priced selling and the balance of it is clearance and every -- all the promotions pulled together. So we intend to continue to operate that way. We think that's the healthier way to run the business. And while sales haven't been as strong as they had been historically, we're just managing our inventory very closely so we don't wind up exposed from a margin perspective clearance. 
Randal Konik: All right. Sorry, because you brought up Stinky Boots,  I have one last little question. You commented that ladies boots were negative, but you didn't comment that men's boots were negative, so I'm assuming they were positive. Is there -- has there be any time before where you've seen variability in the 2 genders within the boot category? And if so, if not, what do you think is going on in the boot category? That's my final question. 
James Conroy: Sure. I think the ladies boots business is just a bit more discretionary. On the ladies side, many of our lady customers wear boots riding a horse or working with horses or as part of their daily wardrobe. There is a portion of our ladies boots business that is more the casual concertgoer, the country music festival kind of participant. And that piece of the business probably has a little bit more variability in it. The [ph] denims business is a bit more stable than that kind of across the board. It's just -- I think it's kind of always been that way at least on my time here. 
Operator: Next, we have Mitch Kummetz of B. Riley. 
Mitchel Kummetz: Jim, I got on late because of all the technical difficulties. So I'm trying to piece together things here from the Q&A, but I may have some questions that you've already addressed in your prepared remarks. It sounds like you gave a July comp. Can you tell me what that was? 
James Conroy: Yes. We didn't give a specific July comp, what we said was, as we've got into this quarter, the July business was slightly negative. Yet we gave some context that in the last year period in Q2, July was our strongest month of the quarter, particularly in the core Boot Barn business. 
Mitchel Kummetz: Got it. Okay. And then it sounds like from what you said in the Q&A that e-commerce was a tailwind like it was last quarter. Can you kind of break up the comp of the e-commerce stores? 
James Conroy: We haven't broken out that specifically, but e-commerce continues to grow quite nicely. The stores business was slightly negative and the e-commerce business brought the consolidated comp to positive. 
Mitchel Kummetz: Got it. But then also just in terms of kind of the July trends, did Texas continue to show kind of the improvement that you've been seeing in the last couple of quarters? Or did that not occur? 
James Conroy: Actually, I don't know about the Texas comp on my fingertips. I think it's roughly the same as it was in the first quarter. 
Mitchel Kummetz: And then it sounded like Sheplers was -- the comp was a little worse this quarter than last. So did you give -- can you give me a breakout between Sheplers comp versus core Boot Barn comp? 
James Conroy: We didn't give it out specifically. What we said was the Sheplers business or the Boot Barn stores business performed better than the Sheplers stores business, which is inverted from the prior quarter. One hypothesis there is, in the prior quarter in January where we, we and lots of other retailers put things on sale and had a clearance sale, the Sheplers business did pretty well in that particular month, kind of speaking to the traditional Sheplers more promotional customer. We didn't have that same highly promotional clearance period as we do for a couple of weeks in January in the second quarter, and that may explain a little bit why we didn't have the strong same-store sales performance in the Sheplers stores. Having said that, the margin rate improvement in the Sheplers stores business has been so dramatic that we've almost made up the margin dollars in the same stores between last year and this year, even on a negative single-digit comp. 
Mitchel Kummetz: Okay. And then lastly for me. If I recall correctly, it was the oil and gas markets that turned negative in June of last year. I would imagine that they were negative in July. Is there any way you can say when were they their most negative in terms of the drag on comp as we kind of sort -- as we continue to kind of cycle through that? 
James Conroy: Sure. We haven't ever called that out specifically, but they were most negative in the third quarter. 
Operator: Next, we have Paul Lejuez of Citigroup. 
Paul Lejuez: Just curious, when we look at the performance of the converted Sheplers stores, how wide is the range of performance? If you can give us a little color as to the standout maybe regionally positive, negative, how much of a discrepancy do you see from 1 market to another market within the major state of Texas? 
James Conroy: Sure. Sure. The answer to that question is the variability is pretty high. And I think there was a couple of reasons for that. I think there were some markets that have been converted that just really cater to a more value conscious price promotional customer. And those customers have probably flood those stores more quickly than they have in other markets that might be slightly higher income and a little bit less promotional. I think the second piece that's created some variability is just the competitive dynamics in each of their -- each of the Sheplers stores operate in different markets, where we either have more or less aggressive competition from kind of the mom-and-pop western retailer. And as we've gotten less promotional, there's probably been a couple of mom-and-pops that have taken advantage of that. So I think there's some real reasons for that. We've also had a couple of openings in 2 markets by Cavender's. They continue to be a strong competitor to us in very localized places or localized markets. So I think there's kind of some real reason why there's variability. But the answer to your question, it's been pretty highly variable from store to store. And it's kind of tested our merchants and our merchandise planning team to bring inventory in and out in a measured way. 
Paul Lejuez: Got you. And then just last one for me. You guys have been hanging pretty flat-ish from a comp perspective without changing the promotional model. What would you need to see that would make you adjust your promotional model and just rethink about what percent of your business should be happening at full price? 
James Conroy: I'm not saying I'm not sure we'd ever get there. The -- I think once we start to pull the promotional lever in a meaningful way, we probably could drive same-store sales for a year. And then the following year, we'd be up against that same promotion at a lower margin rate and have a deeper promotion to drive same-store sales again and we have yet again a lower margin rate. So while we want to amplify the margin -- sorry, amplify that promotions that we have in the store and try to make them more energizing and more exciting for the customer and looking for new and innovative ways to leverage our customer loyalty program, entire promotions to our most loyal customers, I still don't think it's going to be promotions at a much higher index kind of regardless of what is happening on the same-store sales line. We've had several examples where same-store sales has been soft and margin dollars have gone up in different kind of microcosms of the business over the last few years. I just don't think it's a winning long-term strategy, and we're playing a long-term game. 
Operator: Next, we have Corinna Freedman of BB&T. 
Corinna Freedman: I wanted to know if you had an update on some of the new vendor collaborations that you were going to be rolling out to stores. And if there are any other merchandising initiatives you've got planned for the next few quarters. 
James Conroy: Sure. Corinna, good question. So we continue to partner well with Carhartt on rolling out those stores. There are probably about 100 stores that have a Carhartt shop and we feel good about that performance. We're starting to do a little bit now on the denim wall with Wrangler. I wouldn't call that it's a store and store, but it's more trying to take credit for being a denim authority. And there's perhaps 1 other vendor that we are doing some test with that, If they materialize, we might roll out in a broader way. So it's kind of the way we're thinking about it. We're also continuing to look for growth in our private brands. Our Shyanne brand continues to grow quite nicely, being leveraged a little bit from a marketing perspective with connection to Kelsea Ballerini. She's been a great face of Shyanne and has helped us really open up that brand and perhaps Boot Barn to more of a millennial customer and certainly to a country music festival customer. So we feel good about that. So that's kind of the big broad brush strokes that are happening. From a vendor partnership perspective, we certainly feel great about our ongoing relationship with Brad Paisley and the MoonShine Spirit line. He continues to be incredibly supportive of Boot Barn. And then the other merchandising strategies are similar to things that we've talked about in the past, continuing to try to find growth in work boots, certainly the performance work boots brands like Kean and Timberland have performed well for us, expanding the definition of men's western boots a bit to include some more casual kind of post rodeo boots, we call them operate rodeo boots or Drivers & Moccasins is really, I guess, the official name. So there is a number of different merchandising initiatives and the team led by Laurie, continues to just squeeze every ounce of same-store sales growth we can find across each of the departments, particularly as we're facing into an environment with down retail traffic. 
Operator: [Operator Instructions] At this time, there appears to be no further questions. We will go ahead and conclude our question-and-answer session. Again, we would like to thank the management team, not only for your time today, but again for your patience through the technical difficulties earlier. And we also thank you all again for your patience and for your attendance today. I would now like to turn the conference back over to the management team for any closing remarks. Gentlemen? 
James Conroy: Well, thank you, everyone for joining the call. We appreciate the time. We apologize for the late start. We had the same difficulty, unfortunately, as you did getting onto the call. And we look forward to speaking with you again on the second quarter earnings call this fall. Thank you very much. 
Operator: And again, we do thank you, sir, and to everyone else, again, for your time today for joining the conference call and for the technical difficulties earlier. Thank you for your patience. The conference call now has officially concluded. At this time, you may disconnect your lines. Thank you, take care, and have a great day, everyone.